Operator: Good morning. And welcome to the Bio-Techne Earnings Conference Call for the First Quarter fiscal 2016. At this time, all participants have been placed in a listen-only mode and the call will be open for the questions following management's prepared remarks. I would now like to turn the call over to Mr. Jim Hippel, Chief Financial Officer.
James Hippel: Good morning and thank you for joining us. Also on the call this morning is Chuck Kummeth, Chief Executive Officer of Bio-Techne. Before we begin, let me briefly cover our Safe Harbor statement. Some of the remarks made during this conference call may be considered forward-looking statements. The company's 10-K for fiscal year 2015 identifies certain factors that could cause the company's actual results to differ materially from those projected any forward-looking statements made during this call. The company does not undertake to update any forward-looking statements as a result of any new information or future events or developments. The 10-K as well as the company's other SEC filings are available on the company's website within its Investor Relations section. During the call, non-GAAP financial measures may be used to provide information pertinent to ongoing business performance. Tables reconciling these measures to most comparable GAAP measures are available in the company's press release issued early this morning or on the Bio-Techne Corporation website, at www.biotechne.com. Also you will notice this morning's press released the stock based compensation expense as an added as an adjustments to the company's non-GAAP measures. This will be an ongoing adjustment as stock based compensation expenses are recurring to increase transparency of these costs as well as to reflect net earring for more represented of the ongoing cash generated earnings of the company. All comparisons since the prior periods reflect this adjustment as well. With that, I will turn the call over to Chuck.
Charles Kummeth: Thank you, Jim and good morning, everyone, thanks for joining us today for our first quarter call. This morning, we reported a 4% increase in revenue for the first quarter, with solid organic growth in most of our end markets. Total company organic growth was 2% for the quarter were mid single-digit organic growth from our biotechnology segment and 10% organic growth from our Protein Platforms segment were tempered by the timing of OEM shipment at our Clinical Control Segment. In our Biotech business our Bio Pharma end market continue performed very well but overall organic growth on a high single-digit. Europe Bio Pharma market was particularly strong seeing nice rebound even in Germany. Overall Europe organic growth was in a mid single-digit or Germany – Germany leading a way without team. An increasingly bigger driver of our growth and above for market has been our sort of efforts to marketing in customer region and ask this solutions for these customer. Our expertise are producing complex bioactive molecules and our reputation for quality it will increase be in recognize by our biopharma capital by choosing us to give us interesting producing results. Not only these arrangements contribute to our current role but we also further depending on our relationships with customers it should enabled collaboration on project and years to come. Many of these products developed as any incorporated into our standard catalogue. Meanwhile in our academic and government end markets we continue to experience our multi quarter trends to modest organic growth with first quarter growth in a low single-digit after the release of our new website at the end of Q4 fiscal year 2015 website traffic is increase. Our work improves the website experience with the ongoing especially as per teams to adding more product content in the form of data or reference those in change optimization. We believe this is the key to long-term growth in the academic market especially we read about it. When we look at our results in Asia the story as much as same that it was for Q4, China continue to perform very well in Q1 with organic growth in the mid-teens. Our China for China strategy continuous to bare through with our PrimeGene products made and sold them in China domestic market digit growth are nearly 40%. In the Pac Rim organic growth excluding Japan was in mid-teens. However Japan continuous to be drag on a regional double-digit negative growth both this stocking by distributor and driven by extreme change rate fluctuation in the flow where is the research funding by the Japanese government as resulting perfect to for several quarters right now. We thought we would be pass to starting fiscal year 2016 but Q1 proved otherwise. We still believe both of these issues are temporary and we will see rebound in fiscal 2016. In meantime, we have made an addition to our leadership team in Q1 about – further the Vice President of all of Asia Pacific. His name is Peter Breloer. He will be based in Hong Kong. Peter brings more than 20 years experience in managing the region for other global companies such as Thermo Fisher Scientific and 3M. With Peter's expertise and leadership, we will be well-positioned together with our local teams to capture growth in the region with initial focus on maximizing the growth potential in China, recapturing growth and funding returns in Japan and eventually establishing beachhead growth in India. Moving on to our Clinical Controls division, we completed our acquisition of Cliniqa in early July. Cliniqa specializes in manufacturing commercialization of quality control and calibrators as well as bulk reagents used in clinical diagnostic market. Its controls and reagents are used in a wide variety of diagnostic tests for such pathologies as cardiac disease, diabetes, cancer, immunological disorders, therapeutic drug monitoring, urine analysis and toxicology. Additionally, with over a 165 products with 510(k) clearances from U.S. FDA Cliniqa has developed a significant regulatory experience that can potentially leverage expand other Bio-Techne product into the clinical diagnostic market. We are excited to have Cliniqa as part of Bio-Techne to expand our product offerings to our clinical controls and diagnostic customers, virtually to same customer that are existing from the Clinical Controls business... With the acquisition of Cliniqa, the Clinical Controls segment revenue was higher for the quarter compared to last year. Organic revenue order was lower due to timing [indiscernible] and shipment. Despite the lower organic revenue in the quarter, our outlook for this business remains solid as ever. Our legacy hematology controls business grew in mid single digit this quarter, we believe this portion of our business whose product have a short shelf life represents end user demand for clinical controls product. The blood glucose, blood gas and now blood chemistry and diagnosing biomarker which Cliniqa brings has much longer shelf by which now – while will allow willing customers buying bigger bulk commodity. The bulk nature of these sales makes the volume volatility from quarter-to-quarter. However, our close relationships with these customers as the critical supplier of this controlled visibility to their ordering schedule. For up to the next 12 months an insight in the overall health of this business and its trajectory currently have visibility of these ordering schedules together with the key one performance of our legacy hematology control. This is confidence that this division will continue to be at least mid-single-digit annual grower in long-term. Lastly our Protein Platforms segment ended Q1 with a 26% increase from revenue growing 10% organically while the growth of division was expectable, we still believe it should will and will get better. As we stated in our Q4 call, there were several setbacks in the fourth mostly related the integration of CyVek in commercial attrition. While the integration setbacks have been solved and commercial openings have been filled, it takes more than a quarter for a larger new commercial team to refill order pipeline. We are also using this opportunity with a new sales force and sales leader to rethink how to just go to market to capture majority of the western blot user is of course focusing on nearly adapted the prior ProteinSimple sales engine will accept the deal. This involves how to best generate leads and close sales. Utilizing the power of the entire R&D systems commercial team to help generate leads and performing demos to close certain sales are examples of actions that are being aggressively taken. We just finished our annual strategic planning session with our leadership team. From that nothing has changed in our view of the market potential for this game changing platform solutions and our teams are committed to ever to make sure our customer is benefited from us for years to come. Finally I want to briefly comment on the operating margin performance of the company in Q1. Jim will provide the details by segment later but for the overall company, the entire operating margin reduction from last year is attributable to the timing of the acquisition we made last year and to a lesser extent FX translation study. ProteinSimple was acquired at the end of July last year, being an insulin business very little of any quarter's revenue is recognized in its first month of quarter. As in our Q1 result this year, we recognized an additional month of SG&A and R&D expenses burden in our P&L with very little revenues to go along with it. We also acquired CyVek in November of Fiscal Year 2015 as we have made it clear in past calls this is essentially a starter business with very little revenue contribution that won't likely breakeven until sometime in Fiscal Year 2017. And in clinical control of [indiscernible] we completed the acquisition of Cliniqa in July of this fiscal year, all those businesses are profitable but does not yet have the margin contribution of our existing and more established clinical control businesses. The optics film was good this quarter, but the underlying trailing 12 month operating performance for these businesses are improving and they will continue to improve as a growing prosperous part of Bio-Techne. Now before I turn the call over to Jim I want to revise more colors on the leadership position still this quarter. I mentioned in our press release this morning. As we discussed some prior calls, our overall strategy is provided game changing solutions to our customers through innovation. Some of this innovation will come from us and some will come from acquisition we make. But we have there successful – the culturally organization must afford collaboration with one, another whether in different department, different business, in different cities or different country. The company is going to be doubled in employees in past two last year and fund group of the number of locations where employees reside. It helps us to create a culture that nurtures collaboration. We've hired a new VP of human resources, transformation and integration who have experienced in change management. I mentioned this on the prior call, but one to give it, further mention here is the traditional healthy sales in Q1. His name is [indiscernible] he has relocated to [indiscernible] Minneapolis, from UK to join our Executive team. Prior to joining by [indiscernible] global consulting business, focus on helping companies and individual manage to change. I worked with through and through over a decade and have some appreciated very unique skills and ability. As I said in the last quarter's call, the common -- test for Bio-Techne will be directly related to how fast we can get businesses and teams working together, collaborating and leads in complete solution further comprising both reagents and instruments in our strategic markets, focusing on management change, culture and collaboration to accelerate our scientific study. We are very excited to have various partners part of the team who will make us call better. With Peter [indiscernible] on Board our executive leadership team is now complete. Many of this joined Bio-Techne come from much larger organizations, had much bigger jobs in terms of revenue requirements over time. They are here because they see the potential, the comments and exciting to building an epic company that enable -- science. With that, I will turn the call over to Jim for more detail on the financials before we open the line up for Q&A. Jim?
James Hippel: Thank you, Jeff. As on prior earnings calls, I will provide an overview of our Q1 financial performance for the total company and then provide some color on each of our few study. As mentioned in this morning's press release, a slight modification of our stagnant reporting again this current quarter. This modification is the movement of the company's Bio-specific business and the biotech segment -- completely shows that the recent acquisition of Cliniqa and its commonality a customer end market for Bio-specific influence this management and the employee change. All comparisons to prior periods will reflect the new reporting structure as this existed in the prior reporting period. So starting with the overall financial performance for the first quarter. Adjusted earnings was down approximately 10% to prior year with 29.4 million, Bio adjusted EPS was $0.79 a share versus $0.88 in the prior year. The impact of currency translation was a headwind to EPS by about $0.03. Under GAAP EPS for the quarter was $0.61 compared to $0.64 prior year. On the top line Q1 reported sales were $112.4 million, an increase of 4% year-over-year with organic growth of 2%. First quarter sales include approximately 6% growth from acquisition and a 4% impact from foreign exchange. Moving on to the details of the P&L, total company adjusted gross margin came in at 70.6% in Q1, down 150 basis points from the prior year. Approximately one-third of this decrease is due to impact of currency translation and the remaining decrease is due to product mix exchange associated with the acquisition that occurred since last year. Excluding the impact of acquisitions and effect quarter gross margin modestly improve year-over-year in the first quarter. Adjusted SG&A in Q1 was 23.2% of revenue and R&D was 10.1% of revenue, 360 basis points and 100 basis points higher than last year, respectively. The increases in these operating expenses were driven by the acquisitions made since beginning of the first quarter of last year. And that have increased adjusted operating expense for quarter due the organic net investment was under $1 million. Resulting adjusted operating margins for Q1 was 37.3%. Adjusted operating margins excluding the impact of acquisitions and FX were approximately flat compared to Q1 of last year. Looking at our numbers below operating income, net interest expense in Q4 was 0.4 million compared to 0.1 million of net interest expense last year. The increase is the result of dropdown and our line of credit that was partial used the funding acquisition in month of July. For the down of P&L adjusted other non-operating income first quarter was 1.2 million compared to 0.5 million of non-operating expense in prior year quarter. The improvement on this line is due to favorable transactional currency exchange fluctuation. Our adjusted effective tax rate in Q1 was 30.9%, up 20 basis points from first quarter of last year due to acquisition mix. In terms of returning capital, we continue to pay our dividend in paid our 11.9 million the quarter. Average diluted shares were up less than 200,000 shares in the first quarter but there is 7.3 million shares outstanding representing less than 1% dilution from last year as a result of stock option grants. Turning to cash flow and the balance sheet $31.8 million of cash was generated from operations in the first quarter and on our investment in capital expenditures was $6.1 million. We ended the year with $83 million of cash and short-term available-for-sale investments, down $24 million sequentially from the end of Q4 since the year 2015. Our long-term debt obligations at the end of Q1 stood at $164.4 million an increase of $52.4 million from the end of Q4. Both of decrease our cash position and the increase in our debt obligation were driven by the acquisition of clinical this quarter. That rest of my comments on a total company performance for first quarter now I'll discuss the performance of our three business segments, starting with the Biotechnology segment. Q1 reported sales were $75.7 million, with organic growth of 4%, foreign exchange impact with reported sales growth negatively by approximately 5%. By geography, both the U.S. and Europe increased in the mid single-digits organically with Biopharma sales continued to be strong with growth in high single digits and academic and government growing modestly in a low single-digit. China experienced solid organic growth in the mid-teen while Pacific Rim was down 8% year-over-year. As Chuck noted earlier, excluding Japan, the Pacific Rim grew approximately in mid-teen. Adjusted operating income for the Biotech segment increased – decreased 3% in Q1 compared to the prior year and adjusted operating margin was 51.9%, a decline of 100 basis points year-over-year. Foreign exchange currency translation impacted adjusted operating income negatively by 7% and operating margin negatively by 150 basis points. Thus about the impact of the FX, adjusted operating income growth this quarter is commensurate with organic revenue growth. Turning now to our Clinical Controls segment sales in Q1 were 20.4 million, with reported growth of 7% over last year. The acquisition of Cliniqa accounted for 18% of the growth, while organic revenue declined 11%. As Chuck has discussed, the decline in organic revenue was due to the timing of OEM shipment schedules, and therefore we believe is not indicative of the current market conditions or future revenue growth expectations for this division. Adjusted operating income for the segment decreased 23% in Q1 and adjusted operating margin was 23.1%, a decrease of 890 basis points from the prior year. The decrease in adjusted operating income was directly attributable to the loss contribution margin on lower product sale. Meanwhile the lower adjusted operating margin is attributable approximately 50-50 to lower volume leverage of fixed cost and the acquisition of Cliniqa. It currently has a lower margin profile in our organic business today. Actually we expect these margins to improve substantially in larger OEM orders we ship later in the year. Moving on to our Protein Platform segment, where net sales in Q1 were 16.3 million and reported growth was 26%. Revenue from acquisition which for ProteinSimple was the month of July and for CyVek was the entire quarter accounting for approximately 21% of growth. The negative impact of that tax translation declined revenues by 5% and the organic growth was 10%. Organic growth in the quarter was driven by the Biologics product line as well as by consumable sales within Simple Western product line. Adjusted operating profit for Q1 was the negative 1.2 million compared to positive 2.6 million one year ago. As Chuck explained earlier, the additional month we earned ProteinSimple this year that's in July, had relatively small sales as many instrument businesses due in the first month of the quarter. The month of July still had a full SG&A and R&D expense run rate as the following. Also the operating expenses of CyVek were not in our figures last year on Q1 with the backward [indiscernible] success last November. Thus ProteinSimple's July results together with CyVek's Q1 results added 2 point million of revenue for the quarter year-over-year, a decrease adjusted operating income by approximately 3.9 million. The first quarter fiscal year is historically the lowest revenue quarter for the year for this business. Thus, we expect Protein platform to be profitable for the full year as revenue increase is sequentially in following quarters. That concludes my prepared comments. And with that I will turn the call back over to Tina to open the line up for some questions.
Operator: [Operator Instructions] Our first question is going to come from Dan Leonard from Leerink. Please go ahead.
Dan Leonard: Thank you. So first of on your operating margin, you've talked in past excluding further acquisition you expect this business to be about a 40% operating margin business. I just want to clarify is that – does that expectation now include or exclude stock on?
James Hippel: It excluded before and it excluded now. So..
Dan Leonard: So it's a cash number.
James Hippel: Right.
Dan Leonard: Okay. And then my follow-up question, Chuck can you give us some may be little bit more color about how we should think about the cadence of the Protein Platforms business throughout the year?
Charles Kummeth: So -- ramp in the north direction ultimately here. So we had as we talked for last quarter earlier set back was commercial order base, and we lost roughly 50% of the sales force and in that transition in an operation. But half that was expected and startups in the Silicon Valley you know people move on and there is all that to think about. We definitely had some turn over, there is a lot of we grow as well. We definitely change our sales force. We have new leader and new overall operation leadership that I talked before. So we are kind of back full strength we need in quarter, sort to get back at it. We did much better job of leveraging the order invasion for instance that – using order invasion here R&D Systems since we have large customer base and loyal following and in the quality and how they help in collaboration and done together. There is more and more in that being put in to the models for how we go-to-market. Its – we also got get pretty good start this quarter. I think – I don't think it's going to take more than one quarter or maybe two when we get time back to I think we should this is mostly in the Western side, Biologic been strongest continued strong and no issues, as we see so far. So I think we should be ramping again that we had issues still a better quarter and in last quarter so we are on the way back I think. Obviously we want to get back 20% better kind of growth rate quarter-on-quarter and that's our goal and we do think that will achieve by year-end.
Dan Leonard: That's helpful. Thank you.
Operator: Our next question is going to come from Amy Wang from RJ. Please go ahead.
Charles Kummeth: Amy good morning.
Unidentified Analyst: Yeah, me too. So I guess...
Operator: Ms. Wang do you have a question? [Operator Instructions] Our next question is going to come from Jeff Elliott from Robert W. Baird. Please go ahead.
Jeff Elliott: Good morning guys. And thanks for the color on the segment the moving pieces there. But I guess can you give additional color on the margin progression by segment through the rest of the year. I think a lot of them kind of struggle to model the first quarter, but how should we think about the margins progression through the rest of the year?
Charles Kummeth: I'll let Jim handle that.
James Hippel: Yeah. Hi, Jeff. So if you look at the price segment the way we think about it is our overall Biotech segment I think the margins where we are at today is consistent with where you are kind of expecting going forward, now they could go 100 basis points up perhaps in that range with no material difference in Biotech division going forward. From a CCD perspective, we have some of the OEM shipments come through that will have a nice pull through and leverage on margin. So I basically would say that our margin profile in that business should eventually creep up to the upper 20. It won't hit 30 because Clinic Care has the lower margin profile than other businesses did historically, but I'd say upper 20 a year is kind of our expectation. Jumping to Protein Platforms, again with the first quarter our national business team took to the lowest quarter, we should get some nice leverage pull through on that going forward. And margin expectation -- operating margin expectations would be in the mid-single digit I'd say.
Jeff Elliott: Okay. That's helpful. And just on the revenue side given that the shift in revenue between the segments I guess can you give us an update on how we should think about the kind of the organic growth by segment over the next few quarters?
Charles Kummeth: Organic growth I guess by Biotech we have been -- we've kind of been where we felt, we expect to be in mid-single digits, we will continue in that range for Biotech. There are other possible upside [indiscernible] new deals, new things we are working on, new products, new directional strategy, but mid-single digit is kind of there. I think again mid single-digits will be at or remain – slightly higher single digits in the clinical controls and that can take power pack with the OEM shipments. It's starting to hit already [indiscernible] this quarter, so I expect that to be kind of volumes set along. And the biggest and then of course is Protein Platforms as James just mentioned, it's about quarter come back here and it's the sales force where it gets back in here if we can hit back to them, the 20s are better and simple western platform, I think then we're back where we think, we need to be in mid teens to nearly 20 overall. It should be very possible, should be what we expect. We had a quarter last year at 30%. It fits so early in the cycle of this business of the company that it's hard to exactly to be. We expect 20 or better and we're issuing for more, we've got to get team in place the other time. It's a great platform. It's a great technology, before this business didn't even provide demos. It was just so kind of early adopter kind of driven the strategy and we have to get a change our policy. I think with more leverage with that phase and then agent's people involved with different types of models and demos and demos lastly put in place, the leverage we have – having 20 different sites [indiscernible] couple worldwide, we think we're going to have very good success.
James Hippel: Jeff, the only thing to add is that – that double digit kind of growth rate, I would – I think I wouldn't model that expectation [indiscernible] . It was flat last quarter, 10 this quarter. It's almost aligned there at two points.
Jeff Elliott: Got it. And just one quick last one from me, on the Japan business, I guess what gives you confidence that that's going to see some recoveries? Is it just what you are seeing on the government funding side, or there is something else there?
Charles Kummeth: Really good question and we've dug into that hard. Overall [indiscernible] take out Japan it looks great, the best quarter we had in a while even for [indiscernible] it tells you how negative Japan was. We've already had Peter in there digging in. He has strong contacts as well obviously with his experience. This whole AMED thing or the consolidation of their three organizations that act like NIH does here, are coming out and they are supposed bearing fruit, we are losing our funding and going forward the next quarter and maybe the second quarter, after that there the restart happening. That gives us confidence. Two, there aren't any incumbent supplier there, everybody has to import in. So, they are running out of stock. There was a de-stocking issue it really happened for two or three quarters with the massive change in currency, but that's going to change and that's going to correct itself and we see some of that already. But it is definitely taking longer than we thought, it's Japan it always takes longer than we think in Japan is. My whole crew had this issue with Japan. We business [indiscernible] so we have to wait it out and it will recover. They have – they actually have a very strong funding cycle coming [indiscernible] just a matter of them being able to use it. We think. I have notice on other calls already other peer companies they are not talking a lot about Japan and other things it is not very good. I think their numbers reflected probably like ours.
Operator: Okay. Our next question is going to come from Drew Jones from Stephens Incorporated. Please go ahead.
Drew Jones: Thanks good morning guys.
James Hippel: Good morning.
Charles Kummeth: Good morning.
Drew Jones: PrimeGene you guys have obviously been pretty strong there for the past year when some other tools companies have struggled, can you walk us through the confidence on why that's going to be sustain and should we expect an acceleration backup to the 20% level?
Charles Kummeth: Sure. I'll give you at least some color on that. In the last quarter we had a – we have a really great quarter in China 35% increment. So these things do balance try a little bit, win a definite teams. We have some shifting in our portfolios well. We've recent plans lot of products over there with lots of different source of naïve just rolling. PrimeGene piece is doing better than plan. It's doing wonderful, another quarter 40% fast growth China for China. Jim and I were just there month ago or so. We finish the new factory. It's GMP ready site. It's gorgeous. It is growing – their audits already happening, that's why people are going away. So it's going to continue to be like a R&D systems kind of branded that kind of organization there with quality been foremost. Although, it's PrimeGene China for China, people get it and we see no one up in that growth rate for that part of the business. Other part of PrimeGene is kind of OEM related and that's also been picking up. So we're very close to our acquisition model. We're right on release part on I think the PrimeGene going forward. Management, still although we haven't lost single person, we actually brought on one new scientist, very high level, very credited and we're building out and this is not the kind of site organization, everything is really going to attract more talent.
Drew Jones: Okay. And then on the acquisition front, has there been enough multiple contraction over the past couple of months where there are some areas that you thought were out of reach that maybe are in play now?
Charles Kummeth: This – no, I think this question has come up in lot of our peer calls and it's too early right. I mean, people absolutely better have. We're really happy that evaluation has come down a little bit and it is fixed year little change thinking but I think one or two quarters we are using enough for this kind of this kind of market memory to really integrated into our prices offering, prices expect this per acquisitions but overtime maybe there is still lot of deals up there we've got a lot – we've got a strong product and new offering and we are still looking and we are working on the always cautions and how we are – and however lot of these kind of synergies and they happy available cost and sales just more to come but we are not just pointing in the discounts we are seeing it now but we hope picture allowance.
Drew Jones: Thanks, guys.
Operator: Our next question is going to come from Amanda -- Amanda Murphy from William Blair. Please go ahead.
Amanda Murphy: Hey good morning guys. Just a follow-up question on ProteinSimple so in terms of that question as you know saw you talked about how some of that expected and obviously you've had some sales, you have some changes there but is there anything else that we should be aware of I don't know if there anything on a competitive landscape that's bring in terms of maybe people leaving before there or not is there anything else that might be driving any kind of equation?
Charles Kummeth: That's really great question. We are asking here what else if you are worried about it's a Silicon Valley company I can tell you we talked and it was brought by actually two quarters or above you should help running buffer and those it will effected quality and then it maybe gave some scale to the market over already for active in this platform but already full result now for over a quarters but I think that's all behind it we don't see any issue around that we don't see any issue or roadmap the roadmap and all the platform we have are solid on track its more now since coming. The team, the development team is 100% intact. It's been intact nothing has changed, run by [indiscernible] vendors since beginning this company and its going extremely well. I don't see any other real catches or risks outside of the commercial risk right now. And I think even there we feel really very good. We have getting the team back to full strength with 6% reduction over six months period not a small task. Now it's not a big company the overall commercial innovation for 100 people, talking about 25 to 30 reps overall doing -- supporting and those are all back. We are also shifting around a little bit the way the organization is structured. So you have reps and you have technical service type people, work people and some of that varies by kind of phase you are in cycle, product cycle. You want to go to a more of a demo driven cycle and more support you change, so again some of the changes while we should get [indiscernible] I won't see .
Amanda Murphy: Got it. Okay. Thanks. And then obviously the question usually one of these earnings is around kind of purchasing pattern that is some of the smaller buyer tech means and you talked about that segment generally being pretty strong. But I don't think you have kind of exposure to the techno companies, but can you just kind of refresh a memory there what you are seeing just going forward on some of the smaller biotech companies R&D type spending patterns?
Charles Kummeth: For my understanding your question, here you are asking about the spending patterns in smaller biotech companies and we are seeing in respect of our own spending?
Amanda Murphy: Yeah, just I mean, obviously given the volatility and there is just some concern that ultimately -- that would impact what types of dollars Biotech companies are spending and I don't think you guys have specifically a kind of exposure to those types of name but I just wanted to clarify that and like that.
Charles Kummeth: There's not any real rate slide coming to offer new warnings [indiscernible] give us any cause to react.
Amanda Murphy: Yes. Okay. And then just last one on the OEMs shipments. I think you said business deal [indiscernible] those come through the P&Ls but those going to be primarily in the next quarter or should we think about that as more of projected dynamic?
Charles Kummeth: Nice trends [indiscernible] answer. Some couple of days this quarter, we better teach our brand new young hunk acquisition of what's likely to be in a public company.
Amanda Murphy: Okay.
James Hippel: Miss your orders like two days in this quarter, so we're now -- we'll continuing got some more work to do there. So overall, if we try to get transparency, we're in the past we've talked about the new hematology control things seem so stable on such a stable grow and now it's to be lumpier because there's much more OEMs percentages in the business. So I think it will be a little more volatile, but still overall I think much less volatile like commission as far. At the end of this quarter we'll shift any more OEMs, the next quarter hope not. So hopefully this is availability to catch up quarter of fact. But I want to make a very clear the outlook with Clinical what we – what they hold this, what we bought, what we model this for what they have in their pipeline is all right on track and in fact they finished their business last year, their 40% organic growth rate and looking for being 10% or better like this year. So it should be helpful. It's going to take a sort of while to get their margins as where we like it and talked about being a little less, there's some work to do, but and may be long-term as its sales that maybe won't have margins of our hematology control, but it's a solid business with good potential to remain at double-digit growth.
Charles Kummeth: Little more specific Amanda on the quarterly profile, I mean right now, the way the schedule looks that second quarter and the fourth quarter, will be stronger than the first and third by that – I don't know, it's always have to change there. And the more interesting things we bring in and it will be more and more like that.
Amanda Murphy: And that the OEM lumpiness dynamic that's purely there Bio-Cliniqa?
Charles Kummeth: Yeah, Cliniqa as well as our legacy diagnostic business.
Amanda Murphy: Okay. Yeah. Okay. Thanks very much.
Charles Kummeth: It's the same sign of reasons, big joint customers, big OEM orders.
Amanda Murphy: Yeah.
Charles Kummeth: Probably [indiscernible] taking order, right?
Amanda Murphy: Got it, thank you.
Operator: [Operator Instruction] Our next question is going to come from Paul Knight from Janney Montgomery. Please go ahead.
Paul Knight: Hi, Chuck, how are you?
Charles Kummeth: Great, Paul, how are you doing?
Paul Knight: Good, I don't need to press star one or just press one in the future. You'd mentioned Jim, the talk around the gross margin impact from these OEM – I am sorry, from the ProteinSimple costs and shipments et cetera, you've mentioned there is a gross margin impact number, what was that both from diagnostics and from ProteinSimple?
Charles Kummeth: What I can – may help you with is that for the Protein platform segment, gross margin basis if we put margins by over 300 basis, the acquisitions in.
Paul Knight: Okay.
Charles Kummeth: In platforms. And then for our – for our clinical control division the gross margin impact of the acquisition was actually pretty nil. It's actually slightly positive impact on the gross margins but on the operating margin there was over 300 basis – almost 400 basis points.
Paul Knight: Okay. Very helpful. Thank you. And then where do you think you are on your online capabilities right now, well Abcam is being doing this strategy a long time I know you've been building that capability up? Are you in the first innings the third innings what's your comfort level with this go to market strategy?
Charles Kummeth: Let's start talking about our need two years ago that really get back in the game with website that gives a customer experiences that something better than it was. I would say we are probably a decade behind a good 10 years by Abcam because they had entered for the long-time. In these two years, we come a long way I would say we're probably only six years behind. We caught up two extra years probably. It's there, a long ways ahead. And it's not – it's not in the amount of products, we actually have more products but they've spend a long time winning data, reference citation, online and we've growing as best as we can, we actually thing our website is – our search kit is best out there right now. It's just the matter of now backing up those bones with the right content and that will take time. With the Novus Group here and they are in the overall doubling of our IT group in order to handle all this, we're on acceleration mode. But innings wise, if we are talking baseball it's probably third innings, fourth innings at best. The best is yet to come. And we've seen results I mean the Academia is definitely improving. And [indiscernible] which didn't have a greatest quarter by the way for us, but it is developing and it is noticeable and I mentioned our traffic is us the website had immediate effects there and it's early I think the opening is still really early to be honest.
Paul Knight: And then lastly, the level of contribution from acquired revenue in remainder of the year, what's your round number on that?
Charles Kummeth: [indiscernible]?
Paul Knight: Right. Inclusion of the future numbers.
Charles Kummeth: Are you referring to Cliniqa?
Paul Knight: Yeah.
Charles Kummeth: You know what we'll tell you about Cliniqa is that Cliniqa when we acquired it was approximately of the size of Meldas. So that's kind of based on -- you can think about in terms of year.
Paul Knight: Okay. Thank you very much guys.
Operator: Our next question comes from [indiscernible] from Craig-Hallum Capital. Please go ahead.
Unidentified Analyst: Good morning, gentlemen. Just a couple of questions, first can you quantify or give us a ballpark for the OEM shipments that pushed from Q1 to Q2? You know we are talking about a couple million dollars or was it even more than that?
James Hippel: We are pointing 2% organic, 3, 5 it would have been in the – or it should have been in the quarter five at least in this [indiscernible] , so we are talking of couple of million or little less.
Unidentified Analyst: Okay. And then with those sitting here it sounds like a majority any way in Q2, is that simply on top of kind of how we had modeled Q2 or does the push out to Q2 then you see a some delays in the reorders in Q2, so it actually not an additive situation.
James Hippel: I will say in general that our profile right now for this division has a higher stake in revenue in Q2 and in Q4.
Unidentified Analyst: Okay. All right and then one last one, as far as the new antibody, I saw press release the other day, you are up for 1,000 there. How should we be thinking about how those, how the [indiscernible] antibodies will ramp, I mean is it much like your old model, I mean almost annuity based stream or is it going to be a little lumpier with those products?
James Hippel: I think it will be low and steady like we are known for.
Unidentified Analyst: Okay. Great. Thanks guys.
Operator: There are no questions in queue at this time. [Operator Instructions] There are no questions in queue.
Charles Kummeth: All right. Well thank you everyone for attending. Should be interesting quarter going forward. And we will be talking I am sure throughout the day here as well. Thank you.